Operator: Good morning, everyone, and welcome to VCI Global Earnings Conference Call for the fiscal year 2023. Joining me today are Victor Hoo our Group Executive Chairman and CEO, Marco Baccanello Executive Director and Zhi Feng Ang who is our CFO. Before we start, I’d like to remind you that this call may contain forward-looking statements which are subject to future events and uncertainties, statements that are not historical facts including but not limited to statements about the company’s belief and expectations of forward-looking statements. Forward-looking statements involve inherent risks and uncertainties and our actual results may differ materially from these forward-looking statements. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and risk factors included in our filings with the SEC. Now this presentation also includes certain non-GAAP financial measures, which we believe can be helpful in evaluating our performance. However, those measures should not be considered substitutes for the comparable GAAP measures. The accompanying reconciliation information related to those non-GAAP and GAAP measures can be found in our earnings press release issued earlier today. Now without further ado, I will turn the call over to our Group Executive Chairman and CEO, Victor Hoo. Victor, the call is yours.
Victor Hoo: Good morning, everyone, and thanks for joining the call to discuss our 2023 performance. I'm thrilled to unveil the remarkable achievement of our 2023 performance. We have achieved an extraordinary 145% increase in revenue, representing $19.8 million, and a 57% increase in net income, amounting to $7.2 million compared to last fiscal year. This remarkable growth was driven by strong performance across all our business segments. Throughout the year, VCIG has continued to excel as a leading business consultant, specializing in IPO advisory and technology consultancies. Our commitment to deliver exceptional service to our clients has propelled us to new heights. Notably, VCIG successfully staked on NASDAQ not only enhanced our standing, but also validated our expertise. As companies require guidance navigating dynamic capital markets, we see ample opportunities to broaden our scope of IPO advisory services in the Southeast Asia region. Supported by our strong performance and expanded capabilities, we remain optimistic about the opportunities that lie ahead of VCIG. With growing demand of our services and the evolving tech landscape, we are well positioned for further market expansion in Southeast Asia. We anticipated continual growth and success, leveraging our market exposition, diverse services and talented teams to seize emerging opportunities. Now I'll turn the call over to Mr. Ang to provide more details on our financial performance.
Zhi Feng Ang: Thank you Victor. Thank you for joining us today for VCIG's Fiscal Year 2023 Earnings Call. I'm Ang, CFO of VCIG and I'm pleased to provide you with an overview of our financial performance. We are proud to report that we delivered what we consider to be an exceptional fiscal year performance. Our revenue surged by an impressive 145% as compared to last fiscal year, reaching record-breaking levels. This remarkable drop is a testament to the effectiveness of our business strategy and the hard work of our team. Let's dive deeper into our revenue. The significant increase in revenue was driven by strong performance across both IPO and technology consultancy segments. Our capital market consultancy revenue increased by 265% from $23.2 [ph] million to $14.7 million in 2023, as we see notable uptick in IPO engagement throughout the year. As of December 31, 2023, we are advising 10 clients that are in the process of going public on NASDAQ. Our technology consulting revenue grew by 13% to reach $4.5 million. We specialize in IT consultancy and system development in the Fintech industry, focusing on financing management systems and e-commerce platform development. It is also worth mentioning that our Fintech arm has generated $0.4 million revenue with a long-hold value at $8 million by December 2023. This is a significant increase compared to the last fiscal year. In addition to our impressive top-line growth, we have also achieved significant improvement in profitability. Through disciplined cost management, our EBITDA experienced a substantial increase of 125% to $7.3 million, while our operating income stretched over 128% to 7.1 million. Furthermore, our earnings per share saw a notable growth of 62% to 0.21 per share. Overall, we are very pleased with our record top line growth and profitability. I will now turn the call over to Marco, our Executive Director, to conclude the call. Thank you.
Marco Baccanello: Thank you, Ang. Good morning, everyone. I'm Marco Baccanello, and I'm honored to step into the role of Executive Director at VCIG. It's absolutely exhilarating to join this exceptional team. I'm eager to work towards achieving even greater success together. In conclusion, I want to extend my sincere appreciation to our investors, employees, and stakeholders for their continued support. Our fiscal year 2023 results underscore VCIG's commitment to delivering value to our stakeholders, and we remain dedicated to driving sustainable growth and creating long-term shareholder value. Thank you.
Operator: All right, once again, this is the moderator for the call. I'd like to thank the team at VCI Global for their comments today. And of course, we'd like to thank all of our interested parties as well as shareholders for joining us today. That will conclude our call.
End of Q&A: